Operator: Good day ladies and gentlemen and welcome to the ASUR First Quarter 2016 Results Conference Call. My name is Kathryn and I’ll be your operator. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of today’s conference. [Operator Instructions] As a reminder, today’s call is being recorded. For opening remarks and introductions, I’d like to turn this call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed.
Adolfo Castro: Thank you, Kathryn, and good morning, everybody. Thank you for joining us today on our conference call to discuss our first quarter 2016 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our company’s control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. Moving on the results, we had a strong start to the year delivering solid top line and profitability growth. We are also on track with our expansion plans both at our Mexican airports as well as San Juan, Puerto Rico International airport. Beginning with San Juan, Puerto Rico International airport, passenger traffic at the airport was soft 2.5% year-on-year reaching 2.3 million in the quarter. This is about the 1% year-on-year increase reported in the first quarter 2015, despite the challenging economic conditions in Puerto Rico. Consolidated results for the quarter benefited from MXN49.85 million was equity gain from ASUR’s equity participation in Aerostar and stockholders' equity was impacted by MXN3.45 million loss from the translation of dollar against the peso. This quarter, as expected, we completed the remodeling of Terminal C at San Juan International Puerto Rico airport which now offers revamped commercial offerings and more efficient layout for traffic flow. Moving onto our Mexican operations, as anticipated both domestic and international passenger traffic flow continued to accelerate this quarter as we faced most difficult comparables period given the strong growth achieved in 2016. Total traffic was up 8.9% and reached a record high of 7 million passengers. Not that the traffic benefited from the Holy Week taking place a week earlier this year compared to 2015. Domestic traffic growth 13% year-on-year to 2.7 passengers, a record for the first quarter. The majority of ASUR's airport contributed to this growth driven by more affordable rates resulting from lower oil prices and as well as greater airline capacity and connectivity throughout the country. [indiscernible] and Villahermosa however are affected by the difficult conditions facing the oil industry. Despite the strong growth in domestic traffic, we remained cautious going forward. International traffic increased 6.5% year-on-year, a record high of 4.5 million passengers. At the depreciation of the Mexican peso to the U.S. dollar continues to support positive traffic dynamics, although at a slower growth rates than in 2015. Passenger traffic between Mexico, Canada and the United States represented 87.6% of the total compared with the 87.5% a year ago. Moving on to the income statement, total revenues excluding construction services rose 20.6% year-on-year. Commercial revenues per passenger remained strong, up 20.3% year-on-year, again reaching a record high of MXN99. The expansion of Terminal 3 implemented last December, which allow for lower congestion in Terminal 2 was one of the key drivers of the increased commercial revenue per passenger. This performance was also supported by a solid passenger traffic growth and ongoing airports of our concessionaires to increase commercial revenues. Moving it down to P&L, operating costs and expenses excluding construction costs rose 2.5% year-on-year, principally reflecting higher costs of services resulting from the opening of Terminal 3 expansion. EBITDA rose 23.7% year-on-year to MXN.1.5 billion as we continued leveraging our highly fixed cost base. Excluding the impact from construction revenue, adjusted EBITDA margin increased 257 basis points to 73.2% from 71.3% in first quarter 2015. Results for the quarter also reflect an MXN18.58 million foreign exchange loss almost the same amounted reported the first quarter of 2015 when the peso appreciated. Moving on to capital expenditures, we remain on track within our plans, invested MXN157 million this quarter, mainly on the construction of Terminal 4. As usual, we maintained a strong balance sheet closely with quarterly cash and cash equivalents of MXN.2.9 million and bank debt of MXN.3.7 billion. Before opening the floor for questions, let me address today we are holding our Annual Shareholding Meeting and we expect to publish the result a bit later today. Now Kathryn, let me open the floor for questions. Go ahead.
Operator: Thank you. [Operator Instructions] We’ll go first to Pablo Barroso with Credit Suisse.
Pablo Barroso: Hi, Adolfo, good morning. Congratulations on the results. I have a couple of questions. My first question is regarding the astonished performance on Cancun and regulated revenues. Should we continue to expect these along the year or maybe a slowdown as the quarter had a calendar effect?
Adolfo Castro: Well, Pablo, good morning and thank you for your comment. First of all, it’s important to say that the passengers are not exactly the same during the whole year, so we cannot expect the same spend behavior. This first quarter was really nice. You remember that the international traffic is an important piece in terms of the passenger during the first quarter in comparison with the rest of the year. Nevertheless, we are very positive on the results we've got and apparently the change we did with the expansion Terminal 3 working well.
Pablo Barroso: Okay. Thank you, Adolfo. And my next question is regarding the fixed increasing interest expenses. Could you give us more color the reason behind this?
Adolfo Castro: Basically, the interest payments we are making are the result of the credit we have with Bank of America and Bancomer. You know that the rates within this LIBOR clause is to 1.80% to 1.85%, and LIBOR is increasing like how it was last year. That’s currently the main reason why you are seeing an increasing in the interest payment.
Pablo Barroso: Okay. That was very helpful. Thank you, Adolfo.
Operator: Thank you. We’ll go to Ulises Argote with Santander.
Pedro Balcao: Hello. It’s actually Pedro Balcao here from Santander. And also congratulations on this result, in particular the performance of commercial revenues was really impressive, and in particular the number you highlighted, the MXN100 per PAX is indeed truly impressive. My question is to what extent is this the result of the peso depreciation and what really what we should expect for this number going forward? Thank you.
Adolfo Castro: Good morning. My point of view of this of course -- a pieces of this has to do with the peso depreciation. But I have to say that we are seeing better results from our concessionaires and you can analyze that in the case that is completely U.S. dollar denominator activity which is duty free. So try to see how it was duty free last year and how it is this year. As you can see that the increase we've got this year is significantly higher than the one we got last year. And I'll have to say that the peso depreciation last year was higher in the sense, so on one side the answer is yes, the peso difference is higher just [indiscernible] from the US guys. So, on the other side I have to say that we are seeing better results from the concessionaries and better results in terms of the new area that we are operating since December 18th last year.
Pedro Balcao: Okay. Thank you.
Adolfo Castro: Okay. You're welcome.
Operator: Thank you. We’ll continue on to Pablo Zaldivar with GBM.
Pablo Zaldivar: Hello. Good morning. Thank you for taking my question. Could you give us an update regarding Puerto Rico’s terminals? I believe the last time we spoke the remodeling of Terminal C was due to be finished by the end of the quarter. So, could you just give us an update of how things are going in the airport?
Adolfo Castro: Absolutely. Good morning, Pablo. Terminal C has been remodeling completely, now it’s open, and the next step we have is to move people from -- passengers from Terminal D to Terminal C, and basically to close the last piece of Terminal D, which we are expecting to do during the second quarter of this year. So I have to say that basically our rate case decided three years ago would be completed during the second quarter of this year and that is a major achievement because that’s exactly how we expected three years ago. So things in Puerto Rico are going well.
Pablo Zaldivar: Okay. And starting after the second quarter when the movement of the passenger is done, is when we can expect a more normalized behavior in the performance of Puerto Rico, right?
Adolfo Castro: Yeah. Remember that the objectives in Puerto Rico are increasing the commercial revenues, the passenger and to decrease operational cost. So the first part will be completed, I would say at the end of this quarter, and the second will start from the beginning of third quarter.
Pablo Zaldivar: Okay. Thank you very much.
Adolfo Castro: You're welcome.
Operator: We'll go to Rogerio Araujo with UBS
Rogerio Araujo: Good morning. Congratulations for the results. I have a follow-up question on commercial revenues. We saw this increasing 18% per passenger, a way to do this, 7 times inflation. In the past three years, you saw 1 times inflation, less PCD in the commercial revenue, so this was significantly higher, and I would like to know more details on the expansion of the Terminal 3. What do you think drove the most this commercial revenue's expansion in -- we've seen the expansion of Terminal 3 and also if you could say your opinion if this is a good indication that commercial revenue should boost when Terminal 4 inaugurates? And if you could compare a little bit the Terminal 4 inauguration with this Terminal 3 expansion in terms of commercial revenues? These would be great. Thank you very much.
Adolfo Castro: Of course. Good morning. So, once again the -- we certainly are seeing the expansion of Terminal 3, it's a good one and you can see in the reports, newer spaces added from these expansion were very small, basically some ATM from Benelux and two doors there. So, what I want to say is that the expansion of Terminal 3 was just an expansion in terms of -- or mainly an expansion in terms of operational space. It was not an expansion of commercial space. But the effect that was seen for this quarter is a result of moving people, moving passengers from Terminal 2 to Terminal 3 where we have a better commercial layout and a better commercial office. Also it's important to say that we believe movement we are having some kind of decongesting in Terminal 2, sort of the passenger bases, the people were receiving a better sense, then of course this is translated into a better shopping. In terms of Terminal 4, we expect this Terminal to be better than Terminal 3 of course, basically because it has been 9 to 10 years later, so whatever we have learnt as from the year 2006 up to the year 2015, it's something we are implementing with design of Terminal 4. Of course Terminal 4, it will be different than Terminal 3, because Terminal 3 is just international and Terminal 4 will be domestic and international. Nevertheless, what believe is once we open Terminal 4, we should see -- we're expecting to see increase in the commercial revenue per passenger and even the aircraft, they will have a better space in comparison to what we have. And finally make the comment is, once Terminal 4 is open, we should close Terminal 1 again and we will move these passengers from Terminal 1 to Terminal 2. And once again these passengers will experience a better commercial offer of the one that they have today in Terminal 1.
Rogerio Araujo: That's perfect. If you could tell us the current expectation on the exact quarter that Terminal 4 is expected to inaugurate would be great?
Adolfo Castro: As of today, it should be open before next year is over.
Rogerio Araujo: Thank you very much.
Operator: We will to Stephen Trent with Citi.
Stephen Trent: Good morning Adolfo and Thanks for taking my questions. Just two from me, one we think about these pending -- excuse me adjustment to the U.S. Mexico bilateral air agreement. I think you had mentioned previously that there was maybe one airline out of O'Hare that was maybe looking to launch service and that's it. You know has your thinking or your view changed from that previous comment to now?
Adolfo Castro: Good morning Steve. Yes, that agreement was approved yesterday by the Mexican Congress. In term of what you are saying, you are right. What we expect from this agreement is just an additional airline flying from O'Hare to Cancun. Apart from that, I do not see any other effect. Not so positive about what would be the time of the impact on these -- new agreement in case of ASUR.
Stephen Trent: Got it, appreciate that. And I only caught part of your earlier opening comment. There was some trouble with my line, but I heard you say something about domestic traffic growth, and I was wondering if I could ask you to just repeat that, as I didn't catch everything.
Adolfo Castro: Well basically what I'm trying to say is, passenger traffic is once again -- be careful, it closes last year at the [indiscernible] very strong almost 13%. So cost supply figures getting stronger as we grow along the year. So, once again we'll be cautious.
Stephen Trent: Got it. Appreciate that, Adolfo. Sorry, just one more quick question. When we think about Puerto Rico and everything that's going on right now on a political and economic level, do you have some base case in mind, you know regarding where that island CommonWealth goes over the long-term? Or do you think your ops there are largely insulated from the bad macro?
Adolfo Castro: Well in the case of the passenger traffic there, we show a very nice this quarter, a 2 point something percent is a very positive figure in out build. Given the fact of the current conditions down there, and going forward, I have -- I can say that our base business is not so optimistic in terms of passenger traffic. The base business we have in basically the possibility of the increase in commercial revenue per passenger and to decreasing the operational cost, given that fact that we should be more efficient operating with three terminals instead of four. And in terms of the possibility in the long-term, yes we see some tension in terms of choosing. I believe that they can do better of what they are doing today and they have more things to offer to the tourism. But I don't believe that this going to be a major or a significant change in the future to the passenger traffic we have today with that one.
Stephen Trent: Okay got it. I'll let somebody else ask a question. Thanks Adolfo.
Adolfo Castro: Thank you Steve.
Operator: [Operator Instructions] We'll go to Robert Crimes with Insight.
Robert Crimes: Just looking for a bit more color on retail potential of Terminal 4 Cancun, how many square meters of retail space is coming on with T4 and how many square meters are you operating at the moment at the end of 2015? Thanks.
Adolfo Castro: Good Morning. Well, first of all I have to say that our business is not something that we see on a per square meter basis. What we see is the potential of using average square meter optimum capacity. I don't remember how may square meters, how many commercial square meters the new Terminal 4 will have. What I can say to you is that the new Terminal building, it's around 67,000 square meters. The additional space we added to Terminal 3 last December was 25,000 -- close to 25,000. So, it's almost pretty tight in terms of expansion we have in Terminal 4. It's only the expansion we had in Terminal 3. But this is a complete different new layout or a complete different new space. It's something that we are using in a better way, just to give an idea. Terminal 1 and Terminal 2 were designed in a complete different environment. They were designed before the attacks of September 11, so some of the spaces they have to pay are not in accordance with the current conditions. So, I will never see it adjust by square meter because what we believe is not is actual adding square meters, commercial square meters, will not increase or should not increase the commercial revenue. What we see is or what is important for us is the commercial revenue per passenger and that's our focus.
Robert Crimes: Okay, and so, just I think I missed the, what you said in terms of with Terminal 3, you said there was 25,000 square meters when Terminal 3 opened, I think that was back 2007, is that right?
Adolfo Castro: So Terminal 3 originally was around close to 45,000 square meters. We added today -- well December 18, 25,000 and Terminal 4 should be around 67,000.
Robert Crimes: Okay. Then, sorry I didn't catch the answer to the earlier question in terms of which month Terminal 4 is going to open in 2017?
Adolfo Castro: Well, as of today, it should be before next year is over.
Robert Crimes: It's more -- it will be in the second half then I guess?
Adolfo Castro: Well, before the year is over. Could be 31st of December of next year?
Robert Crimes: So you mean 31st of December 2017, before that?
Adolfo Castro: Before the year, the next year is over.
Robert Crimes: Okay. And just one unrelated question. I was just reading the 20-F, and on Page 41, it mentions that the car parking business could be regulated by COFECE and if they find as no alternative parking arrangements at the airport, I mean kind of a bit more color on the process and the timing if you think it's likely and the type of regulations it could be introduced for the car parking business? Thanks
Adolfo Castro: Well, first of all, I have to say congratulations, because you have read the document, and not too many people read that document. My second comment, the total of it's true. My second comment indicates the parking that is held below has been retained in Mexico and that is why we are writing this comment in the 20-F report and this comment has been there for the last few years. There is no current action, there is no comment or anything that will tell me that capacity will do that. Today, nevertheless, we can always -- could do it, so for the moment I don't think, as the nature, we would.
Robert Crimes: You are welcome.
Operator: [Operator Instructions]. It appears we have no further questions at this time. Mr. Castro, I'd like to turn the conference back over to you for any additional or closing remarks.
Adolfo Castro: Well thank you Kathryn. Again to the audience, thank you for joining us today on this conference call. Do not hesitate to contact me if there is any further question. Have a great day, and we will be telling you the results of the Shareholder's Assembly during the rest of the day. Thank you and goodbye.
Operator: That does conclude today's conference. Thank you for your joining.